Operator: Good afternoon and thank you for joining the third quarter 2019 earnings conference call for Herbalife Nutrition Ltd. On the call today is Michael Johnson, the company's Chairman and CEO, John DeSimone, the company's Co-President and Chief Strategic Officer, Dr. John Agwunobi, the company's Co-President and Chief Health and Nutrition Officer and Alex Amezquita, the company's Senior Vice President of Finance, Strategy and Investor Relations and Eric Monroe, the company's Director, Investor Relations. I would now like to turn the call over to Eric Monroe to read the company's Safe Harbor language.
Eric Monroe: Before we begin, as a reminder, during this conference call, we may make forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed or anticipated. For a complete discussion of risks associated with these forward-looking statements in our business, we encourage you to refer to today's earnings release and our SEC filings including our most recent annual report on Form 10-K and quarterly report on Form 10-Q. Our forward-looking statements are based upon information currently available to us. We do not undertake any obligation to update or release any revisions to any forward-looking statement or to report any future events or circumstances or to reflect the occurrence of unanticipated events, except as required by law. In addition, during this call, certain financial performance measures may be discussed that differ from comparable measures contained in our financial statements prepared in accordance with U.S. Generally Accepted Accounting Principles, referred to by the Securities and Exchange Commission as non-GAAP financial measures. We believe that these non-GAAP financial measures assist management and investors in evaluating our performance and preparing period-to-period results of operations in a more meaningful and consistent manner, as discussed in greater detail in the supplemental schedules to our earnings release. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release submitted to the SEC. These reconciliations together with additional supplemental information are also available at the Investor Relations section of our website, herbalife.com. Additionally, when management makes reference to volumes during this conference call, they are referring to volume points. I will now turn the call over to our Chairman and CEO, Michael Johnson.
Michael Johnson: Good afternoon everyone. Thank you for joining us for our third quarter 2019 conference call. As you saw in our press releases today, we have some great news to share this quarter. And I would like to start by congratulating two great executives and two really good friends, John Agwunobi, who will step into the role of CEO of Herbalife Nutrition and John DeSimone, who will be our next President, effective March 30, 2020. The Board and I are really confident that we have the right people and the right team in place to lead the company into the future. With Dr. Agwunobi's unique qualification and John DeSimone's extensive experience, we are well-positioned to keep our positive momentum going. But before I go into more detail about our transition plan, I would like to provide a brief update on our record third quarter results. Third quarter volume points were an all time high for our company and we reported year-over-year net sales growth in seven of our top 10 countries. As we projected last quarter, the trends in our China business improved in the third quarter and our recovery in that market is on track. The strategies in China we discussed in detail on last quarter's call are progressing. And we continue to expect further improving trends in the fourth quarter. John DeSimone will provide an update on some of our initiatives in China along with commentary on the other regions later in the call. We believe this is a great moment in the history of Herbalife. We are reporting a record quarter and we are announcing the next leaders who we know will drive our business forward. We take our corporate succession planning very seriously and review our plans every year. And since I stepped back into the role of CEO earlier this year, we have thoughtfully and carefully taken our time to ensure the company is in the most capable hands as we approach our 40th anniversary. the Board of Directors and I have worked with and know John and John personally and we are convinced that they are the right leaders at the right time for this job. With an accomplished and unique background as a physician, public health official and business leader, John Agwunobi embodies our company's vision, values and nutrition philosophy. He has dedicated his life to improving people's health and has a unique understanding of the synergies and the intersection of public health and the private sector. Since joining our company in 2016 as Chief Health and Nutrition Officer, John has been an integral part of our business. With an impressive list of accreditations including an M.D., MBA and MPH and a commitment to innovation, quality and science-backed nutrition, he has played an important role in moving the company forward, building on our reputation as a premier global nutrition company. John's background has been and will continue to be a tremendous asset to our company. John started his career as a pediatrician before moving into public service, first as a Secretary of Health for the state of Florida and then an Assistant Secretary of Health for the U.S. Department of Health and Human Services, where he oversaw the Centers for Disease Control, National Institutes of Health and the FDA, among others. He entered the corporate sector in a big way, overseeing the U.S. health and wellness division of the largest retailer in the world, Walmart. His responsibilities encompassed all pharmacy operations, including 4,000 retail pharmacies as well as 2,500 optical centers and eyewear manufacturing labs and more than 100 in-store medical clinics. He also provided insight and advice that informed Walmart's position on health reform, public health advocacy, nutrition, employee wellness and emergency response. Here at Herbalife, John has collaborated with our distributors and their customers to ensure we are continually innovating in the areas of product development, technology and sales. He has a deep and personal understanding of the opportunity we have to positively impact the health and wellness of our communities on a global scale through our proven products and distributor network. We have a unique opportunity here at Herbalife nutrition, where we have two extremely talented individuals who are committed to the continued success of the company. So today, we are also excited to announce that John DeSimone, Co-President and Chief Strategic Officer will become President next March. John is a proven leader with an extraordinarily deep knowledge of our business, having spent more than a decade in leadership positions at Herbalife Nutrition. In each of his 12 years with us, he has been responsible for the strategic function of our company and has played an integral role in our strategic direction. Specifically, John has been extensively involved in critical infrastructure strategies including, technology and Seed to Feed, bringing approximately 65% of all product manufacturing in-house and ensuring the highest product quality standards. He was also integral in working with our distributors to enhance the economical sustainability of their business, helping to improve our supervisor profitability and record high distributor retention rates. For the 8.5 years he served as CFO, he was responsible for all financial departments including accounting, tax, treasury, investor relations and for the company's business strategy around the world, during which the company doubled in size. We are fortunate to have John serve as our President partnering with the leadership team to continue to drive our strategy, execute our long term growth plans and help further our mission. John Agwunobi and John DeSimone are an extraordinary team, a team built to lead our company into the future. For distributors, employees and shareholders, this is really great news. John, John and I will work closely together to ensure a seamless transition. As I said earlier, I know them both personally and I am looking forward to the visionary leadership they will bring to Herbalife Nutrition in the years to come. These are truly exciting times at Herbalife Nutrition and my passion for our mission is stronger than ever. I am looking for the staying actively involved as Chairman of the Board and being part of all the great things that will come in our 40th year and beyond. Now let me hand over the call to our next CEO, Dr. John Agwunobi.
John Agwunobi: Thank you Michael. On behalf of the entire Herbalife Nutrition community, I want to thank Michael for his vision, his leadership and his dedication to our company. I look forward to continuing to work closely with him as I prepare for my new role. In my current role as Co-President and Chief Health and Nutrition Officer, I have had the honor of working with an incredible team of trusted proven executives and I look forward to their continued leadership throughout this transition. Together, we have developed key strategic initiatives in product, technology and in finding ways to strengthen our distributor difference. These initiatives have helped to lay a solid foundation on which to grow the business for years to come. Our business is strong and our future is bright and I look forward to continuing our positive trajectory for the benefits of our distributors and their customers, for all our employees and our shareholders. Since I joined the company at the beginning of 2016, I have had the opportunity to spend time with distributors around the world and to learn firsthand how dedicated and passionate they are about our company and our mission to improve people's lives. During my transition to CEO, I plan on continuing to learn from those talented distributor leaders all around the world. Last but certainly not least, I am thankful to be continuing my close working relationship with John DeSimone in his new role as President. We have collaborated side-by-side as Co-Presidents for almost two years. And besides being one of the smartest people I know, he has also been a trusted advisor and friend. I have learned so much from him. Our collective goal will be to provide strong, visionary leadership to keep the positive momentum in our business going. And speaking of John DeSimone, I would now like to turn the call over to him.
John DeSimone: I want to start thanking Michael for his leadership over the past 16-plus years. As we all know, Herbalife Nutrition would not be the company it is today without him and we are honored he staying on as Chairman of the Board. And I further believe this tremendous company is just getting started. For nearly two years, I have had the pleasure of working alongside John as Co-President and in that time, not only have we become friends, but I have learned he is a visionary whose experience and purpose is perfect for leading Herbalife Nutrition into the future. I am looking forward to continuing to work with him to grow our incredible nutrition business. With the passion of our dedicated and talented employees and distributors, we have a great future ahead and I am happy to be part of these exciting times at Herbalife Nutrition. Turning now to the third quarter, where we achieved an all-time record high volume point result, we continued to benefit from the geographic diversity we highlighted on our last quarter's call. As the record results were achieved despite volume in China continuing to be impacted by the 100-day review. Excluding China, volume points grew 5.2% in the quarter, net sales grew 6.1% and constant currency net sales grew by 8.3%. The two-year stack volume point trend improved in five of six regions during the quarter. In China, we saw a material improvement in Q3 volume trends compared to the first half of the year. During the last three months, we announced our partnership with Tencent, which will help us significantly improve our digital capabilities with a focus on enabling our distributors to service more customers and sell more products. Through this partnership, we recently launched a personal e-store for our service providers and sales reps on October 12 with expanded features for our e-commerce solution including instant pay, automated product portfolio recommendations as well as live chat. As you can tell, we are very excited about the future of this initiative, the next phase of which will be launched in the first half of 2020. We also continue to leverage the China growth and impact investment program on strategic initiatives for long term growth, including the partnership with the International Champions Cup soccer tournament which was widely publicized in China and broadcast on CCTV during the quarter. We will continue our strategic investments in the fourth quarter with a 25 city pop-up experience center along with a brand campaign, including outdoor and online video ads. Moving to other key markets. The U.S. business had another strong quarter with year-over-year volume point growth of 7%, an acceleration in the year-over-year trend compared to Q2. Growth in the U.S. continues to be supported by product line expansion and development of enhanced technology tools to support our distributors' businesses and optimize their customers' experiences. Turning to Mexico where volume points were down 7% in the quarter, but local currency net sales were down only 1.5%. This slight decline in local currency trends is off a difficult comp from Q3 last year, which had 13% local currency net sales growth. The Asia-Pacific region reported a 17% year-over-year increase in volume points. The region has set a new all-time record high in volume points. The broad-based growth in the region was led by India, Indonesia, Vietnam and South Korea, all of which grew by more than 20% year-over-year. India volume increased by 27% during the quarter and we added a record approximately 71,000 new preferred members. Indonesia volume was up 24%. Vietnam increased 31% and Korea was up 20%. The comps for APAC continue to get more difficult in the fourth quarter as we lap 30% year-over-year growth from Q4 2018. Looking at South and Central America. Volume points declined 6% which was a meaningful improvement from the 10% decline in Q2. This sequential improvement in trends was driven by Brazil, which we expect to continue to improve over the next couple of quarters. Turning to EMEA. The region continued its pattern of consistent growth, which now totals 38 consecutive quarters increasing 4% during the quarter. Eight of the top 12 countries in EMEA grew in Q3 2019 versus Q3 2018 and despite a slowdown in the growth rate from last quarter, the two year stacked growth rates accelerated during the quarter. Volume point increases for the quarter were broad-based and led by South Africa, Spain, the Russian-speaking markets and Israel. I will now turn the call over to Alex to provide an update on the financials.
Alex Amezquita: Thank you John. Volume points for the third quarter were approximately $1.5 billion and as we previously stated, this was a new record high for the company. Due to the strengthening U.S. dollar, foreign currency exchange rates continue to be a headwind. Third quarter net sales of $1.2 billion increased slightly by 0.1% on a reported basis compared to the third quarter in 2018. Adjusting for foreign exchange impact, net sales for the third quarter increased 2.4% over the same period of 2018. As John said earlier, excluding China, local currency net sales grew 8.3% in the quarter. We reported net income of approximately $81.5 million or $0.58 per diluted share. Adjusted earnings per share of $0.73 included expenses related to the China growth program of approximately $5.8 million or $0.03 per share. This result was above the high end of our guidance range of $0.70 for the third quarter. The impact of currency fluctuations represented a year-over-year headwind of approximately $0.09 on results for the third quarter. Reported gross margin for the third quarter of 80.4% decreased by approximately 200 basis points compared to the prior year period. The decrease was primarily driven by the unfavorable impact of foreign currency fluctuations, country mix and the incremental tariff in Mexico, partially offset by the favorable impact of price increases. Note that the incremental but now discontinued tariff in Mexico will no longer be a drag on our gross profit beginning in the fourth quarter. Third quarter 2019 reported and adjusted SG&A as a percentage of net sales were 40.2% and 38.5%, respectively. Excluding China member payments, adjusted SG&A as a percentage of net sales was 28.9%, approximately 20 basis points favorable to the third quarter of 2018. Our third quarter reported effective tax rate was approximately 28.1% and our adjusted effective tax rate was 24.5% which was lower than our expectations, primarily due to the favorable impact of country mix on our full year effective tax rate expectations, magnified due to the year-to-date true-up within the quarter. Now, let me share updated guidance for 2019. Worldwide volume point guidance for 2019 has been updated to a range of 2.1% to 3.4% growth. Net sales guidance for the full year has also been updated. We are now expecting a range of down 1.2% to up 0.1%. This range is reflective of the volume point adjustments and country mix as well as approximately 330 basis points headwind from foreign currency fluctuation. Full year reported diluted EPS is now estimated to be in a range of $2.20 to $2.40 and adjusted diluted EPS guidance is expected to be in a range of $2.56 to $2.76. Full year reported and adjusted diluted EPS include a currency headwind of approximately $0.33 versus prior year, excluding the impact of Venezuela. Our effective tax rate guidance decreased to 30.6% to 33.6% on a reported basis and to 27% to 30% on an adjusted basis. For the fourth quarter of 2019, we estimate volume point growth in a range of 0.1% to 5.6%. Net sales are expected be in a range of down 0.9% to up 4.6% which includes approximately 140 basis points of currency headwind versus the prior year. Fourth quarter reported diluted EPS is estimated to be in a range of $0.41 to $0.61 and adjusted diluted EPS to be in a range of $0.48 to $0.68. Reported and adjusted diluted EPS include a projected currency headwind of $0.04 compared to the fourth quarter of 2018. Moving ahead to our initial guidance for the full year 2020. Worldwide volume points are estimated to grow between 1% and 7% with worldwide net sales of 1% to 7% on a reported basis, which includes approximately 250 basis points of headwind due to currency. Constant currency net sales are expected be in a range of 3.5% to 9.5% growth. Full year 2020 guidance for reported diluted EPS is in a range of $2.35 to $2.85 with adjusted diluted EPS in a range of $2.55 to $3.05. Reported and adjusted diluted EPS include a projected currency headwind of $0.15 compared to 2019. Adjusted EPS guidance on a constant currency basis is in a range of $2.70 to $3.20. EPS guidance excludes the impact of any future expenses related to the China growth program, share repurchases and excess tax benefits from equity exercises. During the third quarter, we paid off $675 million of debt from our convertible notes in cash and are now below our target leverage ratio of approximately three times gross debt to EBITDA. Separately, S&P Global Ratings raised its issuer credit rating on Herbalife Nutrition to BB- from B+ and assigned a stable outlook. We currently have $715 million of cash on hand and $1.5 billion in our share repurchase authorization. This concludes our prepared remarks. Operator, please open up the line for questions.
Operator: [Operator Instructions]. And our first question comes from Doug Lane of Lane Research.
Doug Lane: Yes. Hi. Good afternoon everybody. And congrats Dr. A and John on your new positions.
John Agwunobi: Thank you.
John DeSimone: Thanks Doug.
Doug Lane: Just starting on the outlook here. The volume point number in the third quarter, the outlook for the fourth quarter next year is spot on. I mean, you mentioned China is improving. It is a little bit better than I thought and U.S. continues to show upside. But on the EPS line, it seems to be a little bit softer than I may have expected. So I was just wondering, how much of that is currency versus are there spending initiatives that are going to be impacting margins going forward?
Alex Amezquita: Hi Doug. Thanks for the question. So $0.13 of adjusted EPS beat, about $0.06 of that is rowing through to our full year. The balance of it is really being impacted by currency and country mix. That's making up the lion's share of the 2019. And as we go through into 2020, 2020 is again being impacted by currency pretty significantly about $0.15 of currency headwind is anticipated for 2020. So again, we are in sort of the same story that we have been now for some time. The stronger dollar continues to get stronger and that's having a material impact on the EPS guidance.
Doug Lane: So then just very high level, other than the Mexican VAT anniversarying, there is no real bubbles going through the P&L as far as spending initiatives are concerned.
Alex Amezquita: No. And if you look at our operating margin on a constant currency basis, 2019 is going to be flat to 2018. 2020 will be flat to 2019. So there isn't anything material to our operating margin. And in fact, some of the -- you referenced the China marketing plan change, we are absorbing that and we are managing those expenses within the normal course.
Doug Lane: Okay. That's helpful. And then sort of speaking on spending but looking at the CapEx number, coming out of the year a lot lower than you were going into the year, I think you are coming in looking for CapEx in the $1.35 million to $1.75 million range and you will be below that and your initial 2020 outlook is $1.30 million to $1.70 million, so back to another big number. I just wanted to know, it sounds like from the outside that you have a list of projects that you are wanting to get to and you are just not getting to them. Is that the way to look at it? Or what's really going on with the CapEx?
Alex Amezquita: Yes. I would say 2019 was really a year of focus. So we began the year, as you know, with our normal benchmark. We typically, for preliminary guidance, guide to about 3% of our net sales. And then as the year progresses and as priorities change and as the landscape change, we may focus or spend around that number. So this year was really a focused effort on a smaller number of high priority projects where we really had to use our resources to concentrate on those. As we look to 2020, again we go back to that placeholder number and as the year progresses we will refine that bandwidth as we unfold.
Doug Lane: Okay. Thanks Alex.
Alex Amezquita: And I should mention, you may have noticed just generally that our 10-Q is not yet available. I just wanted to make everyone aware that EDGAR is experiencing technical difficulties which is causing our ability and some other filers to make submissions. So we are working with EDGAR to get that 10-Q filed as timely as possible. But it may not show up until tomorrow morning provided EDGAR can sort through their issues. So just a general FYI.
Operator: Thank you. Our next question comes from Karru Martinson of Jefferies.
Karru Martinson: Good morning and good afternoon, sorry. In terms of the improvement in China that we saw, how are you guys progressing on building out the pipeline of customers? I mean with the 100-day slowdown, you lost I think two cohorts essentially?
John DeSimone: Yes. So this is John. I will think that question. When you look at new reps which I think is the pipeline that you are talking about, that's what was lost during the 100-day campaign, we saw a sequential improvement, a meaningful sequential improvement versus the trends from last year. But it's a long-term game. We are happy with the trends we are seeing in China. We expect that Q4's volume point trends will improve on Q3 and it will actually you grow in Q1. As you know, there was a lot of other initiatives in China that we announced. There was the Tencent platform which provides an e-commerce channel basically through WeChat for our sales reps and service providers to sell to their customers and that's a big deal and that expands the product portfolio. And we announced 23 pick up meetings in December was we expect to have higher and by meeting meaningful amount of additional in the last year, we are 25 city pop up going out to the think of it as an expert on the nutrition club experience the nutrition club. But the 25 city pop-up experience going on the fourth quarter And we announced 23 kick-off meetings in December, which we expect to have higher attendance, quite meaningful amount of additional attendees versus last year. We have a 25 city pop-up going out. You can think of it as almost like a nutrition club experience, although it's not a nutrition club. But there is a 25 city pop-up experience going out in the fourth quarter. So I expect you will see positive trends versus where we are today continue into the future.
Karru Martinson: Okay. And the Tencent partnership, I realize this is very early since you launched the store and WeChat initiative. What has been the initial feedback from your reps on the field?
John DeSimone: Well, anecdotally, of course, it's very positive. We launched October 12 with some levels set. So this is really early. But I think importantly, it's solved a few issues. One of the issues is the ability for sales reps customers to order directly from the company which over time makes the company and the distributors less reliant on meeting. Another thing is open product portfolio beyond some direct selling product. There is also a component called Instapay that goes along with that, where sales reps can get paid instantly on transaction if their customers order directly from the company. So it's more income into their pockets immediately. So that's another big deal. So anecdotally, the feedback has been very positive. From a data standpoint, it's early.
Karru Martinson: And just lastly, a housekeeping item. There is about $5 million of tariffs in the inventory from the Mexico that roll-off. Is there going to be any kind of a drag in the fourth quarter that we should see from that?
Alex Amezquita: No, those incremental tariffs in Mexico are now rolled out of inventory. So there should be no impact to Q4.
Karru Martinson: Thank you very much guys. I appreciate it.
Operator: [Operator Instructions]. And your next question comes from Beth Kite from Citi Research.
Beth Kite: Hi everyone. And congratulations Dr. Agwunobi. I am so happy for you. And to John as well on the new appointment.
John Agwunobi: Thanks Beth.
John DeSimone: Thank you Beth.
Beth Kite: Absolutely. I would like to start, if we could, on local currency sales growth for 2020 and just thinking about the different drivers. To the extent you can, as I think about elements like growth in your sports and fitness line, traditional product innovation, as I understand, there is a lot of better technology for both distributors and customers in those regions. Momentum in certain markets, knowing as John, you alluded to that some comps are going to get pretty tough in markets like India and Indonesia, but it's also got great end pricing. And maybe there are others. But can you just sort of help us out because thinking about the midpoint, I think, is around 6.5% for 2020. What would sort of get you right in that midpoint? And then sort of what might pull you to the higher end of the range or result in a number at the lower end of the range?
Alex Amezquita: Right. So the midpoint of our volume guidance is about 4% which translates to a midpoint of our net sales guidance of about, on a constant currency basis, about 6.5%. So there is going to be, just based on mix and volume mix, there is going to be an increase to our constant currency net sales from the just sheer volume mix and the leverage from that primarily comes from China just outpacing the growth of the rest of the portfolio. Obviously in 2019, China is coming off of a lower base. So as we go into 2020, we would anticipate the growth in China probably exceeding as we continue this recovery exceeding the rest of the portfolio. So that constant currency net sales leverage will come from that effect. And then the currency headwind that we are anticipating is about 250 basis points. So we get to net sales performance about the same as where we are on volume growth. Pricing is factored in there. Generally pricing, for the most part, is about 2% of benefit that we are getting quarter-after-quarter, year-over-year. But the currency headwinds have far outpaced those pricing benefits.
Beth Kite: Perfect. Thank you. And actually speaking of China then, if we can, that was really helpful though its impact similar to your sales growth, two questions there. One, can you help us understand where we are in terms of ramp into a traditional scenario of sales meetings in the country? And also, can you refresh us where we stand in terms of the money you have that you haven't yet used of the China grant program? I am hoping you got a little bit more than this quarter. So just curious, as you end 2019 and you plan for 2020, how and when and how much money you might be using there?
John DeSimone: Sure. I will take the question on meetings and the quantity of attendees relative to last year. October was actually around 60% of last year, which was actually a little less than we were in July on the last call. But October was the national holiday for the 70th anniversary of the republic and they were very cautious on meetings. So we will see how November goes. But our performance in the quarter was not based on an acceleration of meetings beyond what we announced on last quarter's call.
Alex Amezquita: And on the China growth fund, you are correct. We did receive an additional $6 million of grants in this past quarter. So that gives us, in terms of funds remaining, about $110 million remaining. We spent just under $6 million this quarter and will continue to spend those funds as we move on here on technology, branding, all the same things that we have articulated before.
John DeSimone: So I think it is a wrap up next year versus what we spent this year, a meaningful ramp up.
Beth Kite: Perfect. Thanks. And then I guess my final, a couple of questions, are related. And I know we can't see the Q yet, I appreciate the understanding there, given regarding the issue with EDGAR. But anything on FCPA that you can share with us that is in the Q? And then I also noted that you cited the cash balance. Obviously that was also with this quarterly report. So is there anything to infer there in terms of, you have got a nice cash flow. Might you be able to do any buybacks in the fourth quarter? Or is that likely a 2020 event for assumption of buybacks?
Alex Amezquita: Well, those are related. So first I will say, in the disclosure and I know you don't have the 10-Q but there has been no material change to our FCPA disclosure other than the fact that we indicated that we are continuing discussion with the regulatory bodies. So when you get that, check that. But that will be the delta between this quarter and last quarter. And as a result, that really doesn't change the position that we are in today than where we were three months ago with respect to buy back activity.
Beth Kite: Perfect. All right. Thank you all so much.
Operator: And our next question comes from Stephanie Wissink of Jefferies.
Sebastian Barbero: Hi. It's Sebastian Barbero for Steph. Just a couple of questions, one on Mexico. Anything to call out here? How do you see the market moving in the next three to six months?
John DeSimone: Yes. It's a good question. Obviously the comps get pretty difficult in Mexico. And actually, the 2-year actually stack improved in Q3 versus Q2. Mexico, as a reminder, in Q2 last year was up 4% and Q3 was up 9%. Both Q2 and Q3 this year was down 7%. The down 7% is really driven by just less new engagement, lower engagement activity that we just have to fix and we have got a lot of different issues in Q4 and we have seen slight improvement already. So I think you will see some sequential improvement in Q4 over where we are in Q3. I know there is a lot of excitement at the Extravaganzas. We saw a lot of people in two different Extravaganzas in Mexico. I think the motion, engagement at the leadership level is strongest I have seen in a long time. So I expect that we can build off of that.
Sebastian Barbero: Got it. Thanks. And one more on North America. Growth is still very strong even against some strong comps. How do you see this as sustainable?
John DeSimone: Well, look, I think nutrition club is doing really well in the U.S. DCs are doing really well. Both are expanding. So not just the financial metrics. The non-financial metrics are strong. It's built around sustainability. So I expect that the U.S. yields continue to see strong numbers for the future, at least that's our expectation. We had record meeting attendance at their Extravaganza and their various LDWs. And so the moving up the marketing plan is strong. It might be record-setting. It was record-setting last I looked at it. So all signs still point to sustainable growth in the U.S.
Sebastian Barbero: Got it. Thank you.
Operator: And we have no further questions at this time. I would now like to turn the call back to Michael Johnson for closing remarks.
Michael Johnson: Thanks everybody. I appreciate being on the call for my penultimate investor call. It's really interesting to be in this seat where I am. When I came back, I labeled three S as my goal in the company. Get sales up. Get succession done. So checkbox one. We are doing pretty well this quarter. We have got more room to grow there. We absolutely know it. The 100-day issue in China hamstrung us a bit for the year, the amount and the impact that it had on operating income this year was pretty severe. We had significant trade headwinds in currency but we are finding a way to work our way out of both of those scenarios very strong. So sales are up, check. Succession, I don't think as a team we could have done any better. John Agwunobi and John DeSimone, frankly are dream team inside this company. The Board knows it. Our distributors know it. Employees know it too. So I think as an investor and I am a significant investor in this company, I couldn't be more pleased to introduce these two gentlemen to you today as the next generation of Herbalife. Next year, we celebrate 40 years of Herbalife. Mark Hughes founded this company with the distributor first philosophy and mentality. The success of this company is because we have embraced it, expanded it and we will continue to do so. So my hats off, congratulations gentlemen to you. Congratulations to all of us as shareholders because we have a great succession plan moving forward. So thank you all very much. Thanks for being on the call with us. We will see you next quarter.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect. Thank you for your participation.